Operator: Good day, and thank you for standing by. Welcome to Glanbia Third Quarter 2025 Interim Management Statement Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to Mr. Liam Hennigan, Group Secretary and Head of Investor Relations. Thank you. Please go ahead, sir.
Liam Hennigan: Thank you. Good morning, and welcome to the Glanbia Q3 2025 Interim Management Statement Call. During today's call, the directors may make forward-looking statements. These statements have been made by the directors in good faith based on the information available to them up to the time of their approval of this interim management statement. Due to the inherent uncertainties, including both economic and business risk factors underlying such forward-looking information, actual results may differ materially from those expressed or implied by these statements. The directors undertake no obligation to update any forward-looking statements made on today's call, whether as a result of new information, future events or otherwise. I'm now going to hand the call over to Hugh McGuire, CEO of Glanbia plc.
Hugh McGuire: Thank you, Liam. Good morning, everyone, and welcome to the Glanbia Quarter 3 2025 Interim Management Statement Call and Presentation. On today's call, I will provide an overview of our performance for the first 9 months of the year. And I'm joined by my colleague, Mark Garvey, who will cover the financials and outlook. At the end of the presentation, we will be very happy to take your questions. Overall, quarter 3 year-to-date performance for the group was ahead of our expectations. Group revenue increased by 3.3% with strong performances in our Performance Nutrition and Health & Nutrition segments in the third quarter and continued good growth in our Dairy Nutrition segment. In Performance Nutrition, like-for-like revenue increased by 2.5% year-to-date, excluding the impact of SlimFast and Body & Fit. We continue to see strong consumer demand with double-digit volume growth in the third quarter in our priority growth brands, Optimum Nutrition and Isopure. In Health & Nutrition, we continue to see good momentum with strong demand from end-use markets with like-for-like revenue growth of 6.1% year-to-date. And in Dairy Nutrition, we saw strong volume growth across proteins and cheese and an increase in pricing driven by protein solutions. We continue to make good progress on our group-wide transformation program to simplify our business and drive efficiencies across our new operating model, supporting the next phase of growth. We've completed the sale of non-core brands Body & Fit and SlimFast in our Performance Nutrition division, and we acquired Sweetmix within our Health & Nutrition division. We'll continue to focus on shareholder returns by leveraging our strong cash flow and, in the year-to-date, we repurchased and canceled over 15 million Glanbia shares at a cost of EUR 197 million, which represented an average purchase price of EUR 13.10. I'm pleased to say that based on the continued momentum within our Performance Nutrition segment, we are upgrading our like-for-like revenue guidance for the full year to 3% to 4%, excluding the impact of SlimFast and Body & Fit. And we now expect full year adjusted earnings per share to be at the upper end of our full year guidance range of $1.30 to $1.33. We look forward to meeting investors and analysts at our Capital Markets Day in London on the 19th of November, where we will have an opportunity to delve more into the growth strategy for the group and associated financial targets. Performance Nutrition delivered a better-than-expected performance during the period with like-for-like revenue increasing by 2.5% excluding the impact of SlimFast and Body & Fit, which have now been sold. In the third quarter, we delivered a sequential improvement growing like-for-like revenue by double digits excluding the impact of disposed brands. Year-to-date, the volume performance was driven predominantly by strong category growth with good growth in food, drug, mass and e-commerce channels in both the U.S. and international markets, somewhat offset by lower revenue in the club and specialty channels in the U.S. and a reduction in margin diluted promotions. We continue to scale our international business, which delivered strong like-for-like growth of 8.8% year-to-date excluding SlimFast and Body & Fit, particularly in Asia Pacific. Pricing was broadly in line with expectations with a marginally negative year-over-year impact as a result of tactical price changes, primarily relating to higher-margin products in energy category, which are delivering a strong volume uplift. We continue to navigate ongoing elevated whey prices driven by strong category demand and have responded to this inflation by increasing prices in our international markets in the first quarter of the year. Pricing in the U.S. market comes into effect in the fourth quarter. We continue to expect approximately 15% to 20% of new whey protein isolate supply from the back end of 2025 and through 2026. In terms of brand performance, Optimum Nutrition, our largest brand at 68% of Performance Nutrition revenue, delivered like-for-like revenue growth of 4.6% and U.S. consumption growth of 8.8%. We saw strong double-digit growth in the U.S. food drug mass channel, growing ahead of the category, and continued strong growth in the online channel. We continue to grow our household penetration and expand the brand's distribution. We have a world-leading portfolio of high-quality products within the Optimum Nutrition and Isopure brands, and we continue to focus on innovation and education. We've launched a number of products this year, such as Optimum Nutrition Pro Quench, Clear Whey Collagen, and new products across our creative platform, plus the extension of our Isopure proposition into gut health and immune system support. And we're seeing good growth in our non-whey innovation products for both brands. Our education effort continues to pace, including the Optimum Insiders event we hosted at the McLaren Technology Center, the launch of the Optimum Nutrition Academy program in the U.S. and the continued rollout of Coach Optimum, our AI-powered virtual coach into new markets. Our healthy lifestyle portfolio delivered like-for-like revenue growth of 2.6% and U.S. consumption growth of 6.8%. Our priority growth lifestyle brand, Isopure, continues to enjoy strong growth across all our channels. We introduced a new look and formula for Isopure, improving brand visibility and flavor, and we also launched our new creative campaign, More of What Matters, driving continued growth in household penetration and TDP. We're continuing to roll out and market test of our new ready-to-drink innovation, Isopure Protein Water. As stated already, due to the momentum in the third quarter, which we see continuing in the fourth quarter, we are pleased to upgrade our full year like-for-like revenue guidance to 3% to 4% growth excluding the impact of SlimFast and Body & Fit. Turning to our Health & Nutrition segment, which comprises the premix solutions and flavors platforms and focuses on priority high-growth end-use markets such as vitamin, minerals and supplements, active lifestyle nutrition and functional beverages. This segment delivered a strong performance in the year-to-date, delivering like-for-like revenue growth of 6.1%. This was driven by a 6.9% increase in volume and a 0.8% decrease in price. Total revenue increased by 11.5% as a result of a 7.6% increase from the acquisitions of Flavor Producers and Sweetmix, somewhat offset by a decrease of negative 2.2% as a result of the impact of the 53rd week in the prior year. We are pleased with the strong performance in the quarter, which was driven by good growth across BMS and functional beverage markets, and we continue to see good broad-based demand with strong growth particularly in EMEA and Asia Pacific. Pricing was slightly negative as a result of certain pass-through pricing to customers. During the third quarter, we completed the acquisition of Sweetmix, a high-quality Brazil-based nutritional premix and ingredient solutions business, which will allow continued expansion in the Latin America region. We'll continue to invest in innovation and new capabilities and are building out our new powder flavor capability with planned capital investment in Flavor's spray drying that allow us to capture additional opportunities across our broader B2B customer base. In terms of guidance, we are reiterating our full year guidance of mid-single-digit like-for-like revenue growth in 2025, which will be predominantly volume led and is currently tracking towards the upper end of the range. Dairy Nutrition combines our U.S. cheese and dairy protein portfolios and is largely one integrated manufacturing footprint with a high supply and operational interdependency and is also the route to market for our joint venture supply of whey and cheese ingredients. This business provides a scale leadership position in dairy as a leading producer of whey protein isolate and the #1 producer of American-style cheddar cheese. In the year-to-date, like-for-like revenue increased by 6.1%, driven by a 3.5% increase in volume and a 2.6% increase in price. Total revenue increased by 3.2% as a result of a negative 2.9% decrease from the impact of the 53rd week in the prior year. The volume increase was seen across cheese and protein solutions with strong whey protein demand, particularly targeting the high protein ready-to-eat category. And we continue to see good demand for colostrum targeting gut health and immunity. Pricing increase was largely driven by favorable dairy market pricing in the first half of the year with strong protein markets in particular. Broader dairy market pricing turned negative during the third quarter. For full year '25, we'll continue to expect profit growth across Dairy Nutrition and our joint venture combined. And with that, I will hand over to Mark.
Mark Garvey: Thank you, and good morning to everyone on the call. The group has a strong balance sheet and, at the end of the third quarter, net debt was just under $719 million. We have committed facilities of approximately $1.4 billion with an average maturity of 3 years. At year-end, we expect net debt to adjusted EBITDA to be approximately 1.25x. The acquisition of Sweetmix in Brazil closed in August for $41 million. The disposals of SlimFast U.S., SlimFast U.K. and Body & Fit have now been completed as of September 22, October 20 and October 31, respectively. Prior to completion, these businesses have generated approximately $105 million of revenue in 2025. Total consideration for these transactions including working capital transferred was approximately $63 million, of which $14 million has been deferred up to 15 months. Following these transactions, a further charge of approximately $30 million is expected to be taken related to the sale of the SlimFast brand, which will be confirmed with our annual accounts. Capital expenditure, both strategic and business sustaining initiatives for the year, is expected to be between $80 million and $90 million with investments primarily related to ongoing capacity enhancements, business integrations and IT investments to drive further efficiencies in operations. During the first 9 months of the year, the group repurchased approximately EUR 197 million worth of ordinary shares via our share buyback program, which equated to over 15 million Glanbia shares at an average purchase price of EUR 13.10. Shares repurchase represents over 5% of the weighted average number of ordinary shares and issue at the beginning of the year. Approximately EUR 103 million in dividends were also returned to shareholders this year, in line with our dividend payout ratio of 25% to 35% of adjusted earnings per share. We look forward to the opportunity to review our capital allocation framework with you at our upcoming Capital Markets Day on the 19th of November. Now let me turn to outlook and, firstly, revenue growth. We are pleased to upgrade Performance Nutrition revenue growth expectations. We now expect Performance Nutrition like-for-like revenue growth excluding SlimFast and Body & Fit to be 3% to 4%, previously 2% to 3%. We continue to see strong growth in the category, which is supporting growth in the second half alongside distribution gains and planned innovation. Providing further confidence in the third quarter, we saw a strong sequential improvement, particularly in our Optimum Nutrition brand, which increased like-for-like revenue by 14.3% in the quarter. Health & Nutrition delivered a good performance year-to-date across premix solutions and flavors platforms, while we continue to expect like-for-like mid-single-digit revenue growth for the full year, the business is currently tracking towards the upper end of this range. Moving on then to earnings expectations. In Performance Nutrition, we continued to navigate elevated whey costs, and we have now procured our whey needs through the first half of 2026 with whey costs remaining elevated due to strong end market demand. As previously discussed, we have line of sight to approximately 15% to 20% of new whey protein isolate supply coming to market late 2025 through 2026, which has been somewhat delayed from expectations earlier in the year. We have implemented pricing in our international markets in Q2 and in the Americas in Q4, and we anticipate further pricing actions in 2026 as demand for protein is expected to remain strong. Performance Nutrition EBITDA margins are tracking towards the lower end of the 13% to 14% guided range for the full year as we manage some dissynergies for the remainder of the year related to the disposals I've mentioned earlier. Health & Nutrition EBITDA margins are expected to be between 18% and 19% for the year. Dairy Nutrition delivered a strong performance year-to-date on the back of good volume growth in protein solutions and strong dairy market pricing in the first half of the year. We continue to expect profitability growth across Dairy Nutrition and our joint venture operations combined, as previously guided. Operating cash flow conversion is expected to be over 80% for the year. And finally, we are also pleased to update adjusted earnings per share expectations to the upper end of the previously guided range of $1.30 to $1.33. And with that, I will turn it back to Hugh.
Hugh McGuire: Thanks, Mark. Just to close, I'd like to reinforce our conviction that Glanbia remains well positioned for growth. In terms of our focus, we're pleased to upgrade our revenue guidance in our Performance Nutrition division today as we're seeing improved trends with strong growth in the category. We also continue to see strong customer demand in our Health & Nutrition and Dairy Nutrition segments. We continue to execute initiatives as part of our group-wide transformation program across our four pillars, simplifying our organization and delivering efficiencies for the next phase of growth. We are navigating high-end whey prices carefully with a number of initiatives ongoing to address this. We continue to invest in key talent and capabilities to drive growth across our great portfolio of Better Nutrition brands and ingredients that operate in exciting categories with market-leading positions in high-growth end-use markets. We are focused on delivering long-term growth and shareholder value. And with that, I would like to hand it over to the operator for questions.
Operator: [Operator Instructions] We will now take our first question from the line of Alex Sloane from Barclays.
Alexander Sloane: The first one, actually just to dig in a little bit on the impressive acceleration in Optimum Nutrition in quarter 3. You've given some stats that show that obviously some of that has been driven by new distribution, but actually there's been also a strong healthy uptick in consumption growth in the U.S. So just wondering sort of kind of slightly at odds with what we're hearing on the kind of broader U.S. consumer. So what do you think is driving that and how sustainable you see that with kind of potentially more pricing as you alluded to come? And the second one, in terms of the margin outlook, obviously, thanks for the color there in terms of tracking towards the lower end of that 13% to 14%. As we think about 2026 and the moving parts, I mean, it sounds like that whey costs are maybe slightly more elevated. How should we be thinking -- it's early days, but how should we be thinking about '26 margin outlook for PN in this environment?
Hugh McGuire: Alex, Hugh here. I'll let Mark take the margin question and maybe I'll address the acceleration in ON. I suppose first thing I'd say, look, very happy with consumption in the quarter and performance across our priority growth brands. A mixture of reasons, I think we're seeing very strong growth across our protein and creatine categories. Certainly, strong category growth in powders and ON, and Isopure continue to take share. We're seeing strong growth in international as well, as you'll see in the numbers, and some new distribution wins in the quarter in the U.S., particularly and no longer lapping the kind of private label impact that we spoke about earlier on in the year and then a little bit of innovation. But I think happy that majority is velocity with a little bit of distribution in there. So overall performance is very strong. I think what I'd say as well is, look, protein is a mega trend. We're seeing good demand for powders. They're the highest quality, the cleanest ingredients, the most versatile and they have a low cost per serve. So we're seeing the powder category growth rates accelerate. So overall very happy with that. In terms of pricing, we've called it out. We priced earlier on in the year in international markets. We saw a little bit of elasticity. But once the market competitors reactive, we're not seeing that elasticity now. We're back into volume growth. I think for North America, given the timing with elasticity, we're not expecting significant elasticity at this point in time. Price increases go live this week. Consumption is strong. Our consumers are highly engaged in the category. It's an affordable product. So would be positive about outlook as we go into quarter 4 and into 2026.
Mark Garvey: Alex, just on your margin question, yes, you're right, we did say it's going to be towards the lower end of the range, primarily because of the sales that we just announced. We have some dissynergies we have to manage through, and we'll manage through those into early '26. So I'm not overly concerned about them. We'll sort of manage through that. You're right, it's early days for '26 at this point, and we'll obviously talk a lot more about this when we get to our full year results. But I would say at this point, look, we're very comfortable with the revenue momentum we're seeing, and we probably expect to see that now coming into '26. And overall, I would expect to see EBITDA and margin progression into '26. We have acquired our whey now for the first half. We had said you might recall the last call, we acquired whey for the first quarter. And I said that price is pretty much in line with the second half '25. Now that we acquired the first half, it's marginally higher than the second half of '25. We are putting price increases through in North America. They're done now, and that will be coming through in market. And I expect as we see whey continue to be elevated, we'll probably putting more price increases through next year to be determined in terms of timing. There will also be a margin benefit, obviously, for the Body & Fit and SlimFast sale. That will help us into next year, and some of our transformation work will help as well. And as we sort of look to increase more marketing as well, all in all, I still expect to see margin progression from '25 to '26.
Operator: We will now take the next question from the line of Patrick Higgins from Goodbody.
Patrick Higgins: Maybe just focusing on Health & Nutrition, obviously, another really strong print in terms of volumes there. Obviously, at the time of the H1, you were expecting maybe a little bit of a slowdown just on possible tariff pull-through in Q2. Was that perhaps a touch conservative on your part? Or did you just see a kind of uplift in terms of the EMEA and Asia Pacific markets that offset that? And clearly really strong given the broader consumer trends we're seeing across the U.S., but globally. So interested to hear your kind of comments on what's underpinning that kind of end market demand. And that's on the volume piece. And then on the pricing side, could you maybe just talk us through some of the pricing dynamics in that division and expectations into Q4? I know there was some tariff kind of costs that you might have to pass through at some point. Should we expect that in Q4?
Hugh McGuire: Yes. Patrick, I speak to kind of overall volumes and Mark will speak to price. I think in H1, we probably were being a little bit cautious. We were still coming through a significant tariff turbulence, I suppose, is the best way to put it. So we weren't quite clear on the impact, particularly between China and the U.S. Pleasing to see good growth across all of our end-use markets, but particularly in our international markets, as we've called out. And I think what you're seeing here is this is a smaller part of our overall portfolio, but we're leveraging our broader B2B base and benefiting from the trends that we see in Performance Nutrition overall. So very happy with quarter 3 performance in H&N.
Mark Garvey: Yes. On the pricing dynamic, Patrick, there are some tariff impacts, but there's also some commodity pass-through impacts as well. So to the extent that certain prices of materials have come back, we will actually pass those through. So that tends to be how that flows through in the pricing. I think for the fourth quarter, we're expecting the pricing negativity to be a bit better actually than what you saw in the third quarter. So overall, for the year, probably less than 1% negative on price, I would say, for the year, expecting a reasonably good quarter as well on the volume side, and that's why we say we're tracking towards the upper end of our mid-single-digit range now. I'm pleased to see that as we come to the end of the year.
Operator: Our next question comes from the line of David Roux from Morgan Stanley.
David Roux: Just a couple from my side. Mark, so just to clarify on your comments around whey costs. So as you mentioned, Q1, you had indicated your sort of covered whey costs were sort of flat versus last year. Can you just confirm your comments on how that looks for prices covered to H1? Did you say it was higher versus last year overall? And then -- so then just my second question on Optimum Nutrition. The implied guidance on like-for-like for Performance Nutrition into Q4 implies quite a marked slowdown. Could you maybe just comment on how Optimum Nutrition has performed over basically the first part of Q4? And has it kind of seen a marked slowdown from Q3 as implied by your Performance Nutrition guidance?
Mark Garvey: So on the whey cost, David, so as I said at the last call, we have procured through the first quarter, and those costs were in line with the second half '25. As we procured in the second quarter, whey cost went up a little bit. So we're going to look at the first half of '26, they are marginally ahead of the second half of '25. So a little bit higher, and that's why if you look at pricing, that's part of dynamic for us into next year as well.
Hugh McGuire: Yes. Maybe just to add as well, David, I think when we spoke to you in August, we would have actually seen whey come off its peak. But what we've seen as we went into September and then specifically at October, we saw prices increase again, all driven by demand. Demand is very strong. You can see that from our own numbers as well. We haven't changed our view on the additional supply coming onstream next year. In fact, we're starting to see that come in now, but demand is very strong. So as Mark said, pricing is done this year. We are now starting to evaluate pricing for kind of late spring, early summer next year as well. But overall, fundamentally, it's all driven by strong demand. In terms of second question on ON, look, probably it's a little bit of conservatism. Consumption remains strong and, answer to your specific question, we're happy with consumption as we go to quarter 4. But you always have -- we ship to a lot of markets all over the world, and we always have a little bit of inventory movement as we go into the back end of the year getting ready for New Year, new you.
David Roux: And sorry, just a follow-up on the whey costs. So is the covered position through 1H of next year, would that be inflationary or deflationary versus the prior year?
Mark Garvey: It will be inflationary.
Operator: Our next question comes from the line of Nicola Tang from BNP Paribas Exane.
Ming Tang: First, maybe just to come back on the H&N business again. You talked about this broad-based strength across end markets. Could you give a little bit more color on are you outperforming your end markets? Or are you just exposed to end markets which are growing particularly well? And the second question is -- congrats on all the non-core divestments that you managed to close in Q3. I remember when you announced those non-core divestments, the wording was quite open with respect to continuing broader portfolio assessment and you continue to look at potential further divestments. Do you see scope for further non-core divestments in the near future?
Hugh McGuire: Nicola, yes, I think what I'd say, I think you answered it. Look, we're doing well in the end markets that we supply into vitamin and minerals function and beverage and active lifestyle nutrition, so quite similar to our consumer goods business as well. So we're seeing a lot of those similar trends. I think I said it earlier on as well, we're leveraging our broad-based B2B customer base right now particularly with our Flavor acquisition, we have a natural and organic liquid flavor business. We're building our natural and organic powder flavor business as well. That's very much on trend also. And then we're also leveraging our broader protein capability through Dairy Nutrition as well, where we're doing a lot of flavor and fortification work combined with protein. So overall, benefiting from the good trends we see across the broader Glanbia Group. I think, look, what I'd say is the non-core investments, we'll always keep that under review. We're very much focused on driving our priority growth brands within PN. We have a nice portfolio as well, but decisions will all be made in terms of priority investments. And we'll give a little bit more color on our growth drivers at our Capital Markets Day in a couple of weeks' time.
Operator: [Operator Instructions] We will now take our next question from the line of Damian McNeela from Deutsche Numis.
Damian McNeela: Two questions from me, please. Firstly, can you just provide a little bit more color on the sort of the U.S. category growth? I think you pointed to both protein and creatine has been good components of the growth. But can you sort of talk about whether it's split or weighted to one versus the other there, please. And then just I think at the time of the interims, you talked about longer-term discussions about incremental whey coming to the market beyond '26, '27, '28. Is there any sort of update that you can provide on those conversations, given the sort of continued demand for whey that we see coming through from the U.S., please?
Hugh McGuire: Damian, yes, what I'd say is both categories are growing very strongly, both protein and creatine, and not just in the U.S., I think we're seeing that globally as well. So with very strong growth for Optimum Nutrition creatine, and we have a multitude of products across that portfolio now as well with new flavors and new formats being launched. And we're seeing good growth in protein. And what I can say is, look, we've clearly seen the ready-to-mix powder protein category accelerate in the U.S., of course, in 2025. And we're benefiting from that. Our powders -- like we manufacture. We have the largest brand. We manufacture the highest quality. All our manufacturing is in-house with the cleanest ingredients. And powders are versatile. And look, I have no direct data that would say that consumers are switching or moving across formats, let's say. I wouldn't conclude that, but we do have the lowest cost per serve. I think we spoke to you before about making sure that we had the right price pack architecture, the right opening price points. And an example, one of our online customers were seeing very strong demand for the smaller price points. And particularly for our new customers over 80% of customers buying that size of Optimal Nutrition are new to our brand, which is really interesting for us. So overall, I think generally, we're in good demand spaces. In terms of incremental, yes, actually, we have approved capacity for one of our own facilities in the U.S., where we would put it in additional capacity for whey protein isolate for 2027. And one of our local partners here in Europe actually will be announcing additional capacity actually next week as well. So we're working across '26, '27 and into '28 because these investments take time to plan, time to build. But certainly, all of our suppliers are interested in putting in more capacity.
Operator: Our next question comes from the line of Karel Zoete from Kepler Cheuvreux.
Karel Zoete: I have a question with regards to channel dynamics in the U.S. because it's been, of course, some discussions out about the club channel last year and then the contract loss. What are you seeing across U.S. channels? And then within club, is private label still gaining share?
Hugh McGuire: Yes. I think we've called it out specifically. Actually, for our brands, where we're seeing the greatest growth right now is across food, drug, mass and e-commerce channels. Very, very strong double-digit growth across both. Club channel continues to be very important, the broader club channel. We've had some nice wins across -- there's a number of customers who do the club channel. So we've had some nice wins in that broader club channel base. And within private label, the impact on our business from private label that we spoke about earlier on in the year, that has stabilized now and we're happy with ON performance.
Operator: [Operator Instructions] Our next question comes from the line of Cathal Kenny from Davy.
Cathal Kenny: Firstly, back to the category growth in Q3. What's your best guess for the powders category growth in North America? That's my first question. Second question then is Isopure. Obviously, a very strong Q3, backing up a very good volume growth in Q2. Can you dial in to some of the drivers of that? I know you gave some headline commentary on velocity, distribution, but would be interested lean into the Isopure performance a little bit more. They are my two questions.
Hugh McGuire: Yes. It's hard to call -- look we don't get data for some of the channels in the U.S. So it's hard to call overall growth. But what we've certainly seen in food, drug, mass channels where we do get data, that is publicly available, that we have seen growth accelerate from flat to low single digit now into the teens, low teens. So good category growth overall and which ON and Isopure outperforming that category growth. We see good growth within our e-commerce channel as well. So demand generally for powder has certainly accelerated in the U.S. over the course of 2025. Now how long that will continue, that's always hard to call. But certainly, the demand currently is good and we don't see any signs that, that demand will come off as we head into 2026. In terms of Isopure, probably velocity for ON certainly is the key driver, also a little bit of distribution, a little bit of innovation for Isopure. Primarily, it will be significantly more distribution that's coming off a much lower distribution base, much lower household penetration numbers as well. So significant growth in household penetration and point of distribution. But also some nice new innovation as well that we're launching. So for all -- for both our priority growth brands, it's strong velocity, some nice new distribution wins and nice innovation coming into the category.
Cathal Kenny: Just a quick follow-up on the pricing point. Are you saying that you expect lower levels of elasticity around this price increase you're now taking in North America?
Hugh McGuire: Yes. I think what we've traditionally said, Cathal, is we sometimes talk about elasticity of, one, it tends to come out at around 0.8 from prior experiences. But that doesn't last that long because normally, it's once the entire -- we're the first to move on price, and the category will tend to react. We saw that earlier on in the year in international. The volume growth is back now. I think demand is so strong at the moment that this pricing is well expected. And I think generally, for consumers, it's an inflationary environment in the U.S. But also as we said before, our consumer demand is strong. They're highly engaged in the category. The consumer demand tends to be resilient, and we're in a great format in terms of cost per serve. So it's hard one to call. We're also coming into New Year and new you. So while you won't have much promo effect between now and the end of the year, quarter 1 is obviously a big promotional calendar period for the entire industry. So by the time everything settles, you're kind of coming out into quarter 2 next year. So at this stage, we're not actually expecting significant elasticity.
Operator: I'm showing no further questions. Thank you all very much for your questions. I'll now turn the conference back to the CEO, Mr. Hugh McGuire, for his closing comments.
Hugh McGuire: Thank you very much. Look, just to close, very pleased with the strong performance in the third quarter. Glanbia remains well positioned for growth. We're moving at pace to deliver on our strategic ambition, and I look forward to speaking more about this at our Capital Markets Day on the 19th of November. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect your lines.